Operator: Ladies and gentlemen, thank you for standing by and welcome to the Eaton's First Quarter Earnings Conference Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the conference over to Yan Jin, Senior Vice President of Investor Relations. Please go ahead, sir.
Yan Jin: Good morning. I'm Yan Jin, Eaton's Senior Vice President of Investor Relations. Thank you all for joining us today for Eaton's First Quarter 2019 Earning Call. With me today are Craig Arnold, our Chairman and CEO, and Rick Fearon, Vice Chairman and Chief Financial and Planning Officer. Our agenda today includes the opening remarks by Craig, highlighting the Company's performance in the first quarter. As we have done in our past calls, we will be taking questions at the end of Craig's comments. The press release from our earnings announcement this morning and the presentation we will go through today, have been posted on our website at www.eaton.com. Please note that both press release and the presentation include reconciliations to non-GAAP measures. A webcast of this call is available on our website and will be available for replay. Before we get started, I would like to remind you that our comments today will include statements related to expected future results of the Company and are therefore, forward-looking statements. Our actual results may differ materially from our forecasted projections due to a wide range of risk and uncertainties that are described in our earnings release and the presentation, that are also outlined in our related 8-K filing. And with that, I'll turn it over to Craig.
Craig Arnold: Thanks, Jin. Appreciate it. Yes, I'll begin with Page 3 and the highlights of our Q1 results, and I begin by saying, we had a good start to the year with another strong quarter of performance. Earnings per share were $1.23 on a GAAP basis and $1.26 excluding the impact of the divestiture costs related to the announced spin-off of our Lighting business. At $1.26, our results were 15% above last year and toward the higher end of our guidance range, which as you will recall was $1.18 to $1.28. Our sales were $5.3 billion, up 4% organically and in line with our guidance, excluding the negative 3% impact from currency. And we continue to be pleased with our strong margin performance. Segment margins were 16% above the high end of our guidance range and 80 basis points over prior year. We also generated very strong operating cash flows of $551 million in the quarter, and this is up 63% from Q1 2018 and a first quarter record. And lastly, we repurchased $150 million of shares in the quarter as part of our plan to buy back $400 million of shares in 2019. So, a very good start to the year. Page 4 summarizes our income statement versus prior year. And I've covered most of these items in the summary comments and so I'll only point out once again, the 3% currency impact was driven primarily by the important currencies for us which are the euro, renminbi and real. We are very pleased with our 32% incremental rate that we delivered on organic growth. And so, that number was, once again, very strong and above our expectations. And we incurred as we mentioned, the $0.03 per share from the after-tax cost primarily related to the spin of our Lighting business. And as you can see adjusted earnings per share increased from 9%. Next, we summarize the quarterly results of our Electrical Products segment. Revenue here increased 2%, which includes 5% organic growth, partially offset by 3% currency. And we see particularly strength here in commercial and in residential construction with global growth rates in the mid-to-high single-digits and even stronger in the U.S. markets. Our orders increased 4% led by continued stroke, strength and growth in the Americas and our backlog grew double-digits, up 13% in the quarter. Segment operating profits grew 8% and operating margins were 120 basis points increase to 18.9% and this was a record for Q1. And we are actually pleased with how well the segment is performing and the consistency of results that we continue to see in this part of the Company. Moving to Page 6, we cover our Electrical Systems & Services results. Revenues here increased 6% with organic growth of 8%, partially offset by 2% currency and we saw especially strong double-digit revenue growth in commercial construction and in data centers. We continued to have solid momentum in this business and the year had started on a high note for sure. You will recall that our original guidance is for sales to be up 5% to 6% organically for the year, and so we are certainly running above that rate. As we indicated at our Investor Conference in March, we have moved to a rolling 12-month basis for reporting our orders in this long-cycle business, as well as in our Aerospace business that I'll cover soon. On a rolling 12-month basis, ES&S orders actually increased 8% with strength in all major end markets and regions. And maybe, I'll just pause for a moment on the orders here in the Electrical Systems & Services because I know it's a particular point of question that many of you have and I will tell you that our ES&S activity level is absolutely performing in line and perhaps maybe even a little bit better than what we anticipated. And we talked about this idea of moving to the rolling 12 months, because we do in fact see a lot of, let's say, call it lumpiness in the orders that we get in Electrical Systems & Services driven primarily by what we are seeing in hyper scale data centers. And the other indicator that we have that gives us a lot of confidence in the strength of this business is, is what we call negotiations. And our negotiations in this business in Q1 were an all-time record and up some 56% from prior year. And so despite what we are seeing actually in the orders and what some of you have reported to be a little bit of weakness versus what we saw in Q4, the overall underlying activity in this business continues to be very, very strong. Our backlog continued to grow, it was up 11% in the quarter. We generated strong operating leverage with operating profits increasing 15%, only 8% volume growth and margins increasing a 100 basis points to 13.1%. You will also recall that we announced the acquisition of the Ulusoy Electric business in January. We are pleased to have closed the purchase on April 15th and then this acquisition will certainly provide a strong platform for us as we serve our customers in EMEA and the Asia-Pacific markets. So once again, a really strong performance in our Electrical Systems & Services business and we continue to be quite bullish on the - for the outlook for that business as we go forward. On the next Page, we summarize our Hydraulics results for Q1. Revenues were down 3%, with 1% organic growth more than offset by a 4% currency. I'll certainly note that we had some tough comps in this business at 6% organic growth in Q1 2018, but revenue did slow slightly more than we expected, but I would probably note here only slightly more than what we had in our original plans for the year. Organic growth of 1% reflected continued growth in construction equipment, but some declines in Ag and in industrial equipment. Our orders stepped down 11%, driven principally by weakness in global mobile equipment markets and we also had tough comps here as well from last year, where orders were up some 14%. Backlog declined 6% in the quarter as well. And as we detailed at our Investor Conference, we continue to work through some inefficiencies in the business, but do expect to see strong margin performance in this business in the second half of the year as we work off some of the efficiency issues that we experienced in the second half of last year. And segment margins were 11.7%, down 100 basis points versus last year. And on Page 8, we summarize our Q1 results for the Aerospace business. And as you can see, this business just continues to perform at a very high level, delivering record performance across almost every single metric. Our revenues increased 10%, a 11% organic growth and 1% negative currency. Like ES&S, we moved to a rolling 12-month basis for reporting orders. And on this basis, orders increased 18% with particular strength in commercial transport, military fighters, military transport and both commercial and military aftermarket. So really strength across the board in this segment. Our backlog also increased significantly, up some 21% in the quarter. And lastly, we demonstrated very strong incremental margins with labor to add to a 30% increase and operating profits and a 300 basis point margin improvement in the quarter. Operating margins of 23.1%, another all-time high for the business. So in addition to the volume growth, we also experienced some favorable product mix in the quarter, but really strong execution by the team overall. Next, I'll move to a summary of our Vehicle segment. Our revenues were down 9%, which includes 6% reduction in organic growth and a negative 3% from currency. The organic sales decline was driven by a combination of declines in like global vehicle markets, which were down 45% and the ongoing impact of revenue transfers to the Eaton Cummins joint venture. And I will note that the joint venture actually saw revenue increases of 27% in the quarter and continues to perform very well. We also had tough comps in this business with organic growth, which increased 13% last year. But overall, this business is really performing as we have expected, but with a little bit of weakness in global automotive markets. For the year, we continue to expect NAFTA Class 8 production to be at 324,000 units, flat with 2018. But we have lowered our outlook for light vehicle markets for the year. And lastly, despite the lower volumes, operating margins increased 30 basis points to 15.1% and a decrement of margin on the organic of less than 20%. So really strong execution by the team, once again, in our Vehicle business. And wrapping up our segment summaries, we will cover our eMobility segment on Page 10. Revenues were up 8%, which includes 9% organic growth, partially offset by 1% currency. And as planned, we continue to accelerate our R&D spending, which increased by some 130% in the quarter. So we continue to invest heavily in this segment to participate in what we think is really an exciting growth opportunity as we move forward. We are certainly optimistic about the opportunities in this rapidly developing market, and our pursuit pipeline for new programs has actually now grown to $1.1 billion. At our Investor Conference in March, we did announce a new program win of a $100 million mature year revenue for traction inverters with a major global OEM customer and actually in mid-April, we announced that PSA is the customer for this program. This was our first significant event, since creating the segment about one year ago, and we are certainly ahead of our original schedule for growth in this segment and well on our way to accreting what we think is going to be a new $2 billion to $4 billion segment for the Company overall. At this point, I'll turn to our outlook for 2019, which is on Page 11. We now expect organic revenues for all of Eaton to grow approximately 4%, down slightly from our prior midpoint of 4.5% and this is largely the result of us increasing our guidance for our long-cycle businesses by reducing guidance for our short-cycle businesses. Specifically, we increased organic growth rates by 1% for both ES&S and Aerospace. And for Hydraulics, we lowered organic growth by 2% at the midpoint to 3% to 4% based upon some slow growth expectations in global mobile equipment markets. And for Vehicle coming off, what I would say really was a weak Q1 in light vehicle markets, we lowered our organic growth rate by three points at the midpoint, and now we expect organic growth to be down some 4% to 5%, and once again, due to primarily the automotive side of the business itself. And we have not changed electrical products or eMobility. And our margin expectations are noted on Page 12. We are modestly raising our guidance from 17.1% to 17.5% or 17.3% at the midpoint. We are lowering the margin expectations for Hydraulics by 60 basis points to 13.4% to 14% and for Vehicle by 90 basis points to 16.5% to 17.1% due to lower organic growth primarily. But this is more than offset by increases in Electrical Products and in Aerospace margins. Our new expectation for Electrical Products is for margins to be between 19% and 19.6%, a 50 basis point increase at the midpoint and the new expectation for Aerospace is for margins to be 21.8% to 22.4%, also a 40 basis point increase at the midpoint. And the other two segments remain unchanged. So at the midpoint, 17.3% and this would naturally be another record level of performance for Eaton overall. And lastly on Page 13, we summarize our guidance for Q2 and for the year. For Q2, we expect adjusted earnings per share to be between $1.45 and $1.55 and at the midpoint, this represents an 8% increase over last year. Other assumptions in our guidance include, we are expecting 4% organic growth, foreign exchange impact of roughly $100 million. Our margin expectation for the quarter is that have margins between 17.2% and 17.6%. We would expect our corporate cost to be flat with Q2 of 2018 and we would expect the tax rate of between 13.5% and 14.5%. For the full-year 2019, we are raising our adjusted earnings per share guidance to $5.72 to $6.02 for the midpoint of $5.87, which includes essentially a $0.02 impact from the full-year impact of the acquisition of Ulusoy overall. At the midpoint, this continues to represent a 9% increase over 2018. Other full-year guidance assumptions include organic revenue growth of 4%. We would expect $100 million of revenue from the Ulusoy acquisition. We expect foreign exchange impact to be $300 million and this is a $50 million increase from prior guidance. We would expect, as I mentioned, segment margin of 17.3% and really no change to the other items in our forecast. So in summary, I would say another strong start for the year in Q1. We are well positioned to deliver another year of record results and we are absolutely thrilled with the way that the Company is performing overall. So with that, I'll turn it back to Yan for Q&A.
Yan Jin: Okay. Thanks, Craig. Before we begin the Q&A session of our call today, I do see we have members of individuals peers that in the queue is present. So given our time constraint over to be an hour today and our desire to get to as many of these questions as possible, please limit your opportunity to just one question and a follow-up. So with that, I will turn it over to our operator to give you guys the guidance.
Operator: [Operator Instructions]
Yan Jin: Okay. We will take our first question from Joe Ritchie with Goldman Sachs.
Joseph Ritchie: Thanks. Good morning, everyone. Craig, could you maybe expand on your comments on commercial and data centers being up double-digits in ES&S this quarter? We heard some conflicting news, especially in the data center side, out of the supply chain. And so any other further color you can provide there would be helpful.
Craig Arnold: Yes, now the only thing I would tell you that, overall the data center market for us continues to perform very well. We are still running as I mentioned, our revenue is up double-digit for data center sales. Activity levels continue to be quite strong. I think the piece that I - that we are trying to clarify for the sake of all of you who follow the Company, that data center orders, especially when it comes to the hyper scale, they tend to be quite lumpy. So, you will get a big slug of orders in one quarter and they will be lighter the next quarter, and so that is why we made this decision to really move to a rolling 12 months, because we think it more accurately reflects the underlying economic activity that we are seeing in that market. But for us, we still see very good strength and data center activity overall, and we continue to think that is going to be one of our fastest growing segments. I mentioned once again, we take a look at negotiations, which is the level which for us is a good proxy for the level of economic activity that is taking place in the market. And as I mentioned, we are really experiencing record levels of activity in our Electrical Systems & Services business, but negotiation is up 56% in the quarter to record levels. And so, by and large, we have really seen no let up in activity in Electrical Systems & Services and data centers continues to be a bright spot for us.
Joseph Ritchie: And Craig, within commercial, what are the verticals that are really driving the strength there?
Craig Arnold: Yes, I would say we are really seeing pretty broad-based strengths in the commercial businesses overall. And certainly, oil and gas is - has come back and we mentioned this to strengthen data centers. We...
Richard Fearon: Yes, for example if you look at straight up commercial like office and government, both up just over 10% institutional, just a little bit under that. But we are seeing broad-based strength in the commercial side of things. And if you look at some of the governmental data, C30 reports except for the new Dodge report Europe has seen, numbers that are high-single-digit, even low double-digits. So it, it's all pretty consistent.
Craig Arnold: Right. It's broad too and we are seeing also strength really around the world as well. And in commercial businesses in general. So it's not just in the U.S. market.
Joseph Ritchie: Now, that is helpful. Maybe my follow-on just on the Hydraulics business. You know it's interesting, because it sounded like when we had met intra-quarter, that Hydraulics had maybe gotten off to a better start in January, February. And you have talked about this, this business and all your businesses meeting to kind of earn the right to be part of the portfolio. Yet, we have taken guidance down already to start the year. And so can you just kind of contextualize how the quarter went with Hydraulics? And then also in terms of - like how it fits with the portfolio longer term?
Craig Arnold: First of all I would say, as we have talked about and recovered during our Investor Day in general, that we have some work to do to fix, what I would call some self-inflicted wounds associated with some short move transition, site transition that we are managing internally as an organization. And we always believed that was going to be more of a kind of a second half kind of resolution to some of the internal issues. I think the new news for us in the Hydraulics business in terms of what really drove the reduction guidance is largely some of the weakness that we are seeing in some of our end markets. And so, I would say operationally as we acknowledge, we still have work to do to fix some of our own inefficiencies and our teams are working that. And we certainly would expect that stuff to be flushed through the system by the time we hit the second half of the year. But the new piece is really some of the weakness that we are seeing, largely in some of the mobile equipment market. And I would say that our orders were certainly weak in Q1. If you take a look at some of our customers, all the names that you know well, I would say their sales are holding up better than our orders are. And so there could be a better outlook as we look forward. We are not sure to what extent. There is some inventory repositioning taking place in this segment. But right now, it's really more a function of weaker volumes. And at this point, I would say as we think about Hydraulics as a part of Eaton overall, today, we have a plan and the plan is a plan that we believe in. And our team is executing that plan and we fully expect the Hydraulics team to fix their operational issues and turn that into a business that we can all be proud of and would anticipate keeping as a part of the Company. But for Hydraulics, no different to any other part of the Company, we have expectations that we call all of our businesses accountable to. And we would expect them to meet the criteria that we set and if we can't meet the criteria for Hydraulics or for any part of the Company, we are willing to act when necessary.
Joseph Ritchie: Thank you.
Yan Jin: Our next question is coming from Jeff Sprague with Vertical Research.
Jeffrey Sprague: Thank you. Good morning, everyone. Good morning. I was wondering if you could just come back to ES&S one more time anyhow? And just give us some color on what - negotiation is up 36% really means obviously it sounds good. Is that kind of a project value in dollars? Was there some kind of low ebb in Q1 last year that results in that being such a big healthy number and what kind of typical conversion rate would you have on kind of a negotiation?
Craig Arnold: Yes, no. I mean, the first thing I'll just answer is kind of the question around noise. There is absolutely nothing in Q1 of last year that would suggest that we had a low bar to clear. As I mentioned, it not only was higher than Q1 last year, but it was a record all-time level and was significantly higher than any other quarter during the course of 2018. And I think just as you articulate, this is essentially the number of bid and quotations that we are making to our various customers on large projects that we bid on during the course of the period. And so, it really for us is probably the best proxy for the level of underlying economic activity that we have in that business. So we think it's a really strong indicator of the fact that this business, a long-cycle business that we would expect to be performing very well at this point in the cycle, is actually performing very much like we anticipate.
Richard Fearon: And it will take time for some of these negotiation bids to become final bids, typically 90 days to 180 days, sometimes a little longer for big projects. But yet, it is quite notable just how strong the activity levels are.
Jeffrey Sprague: And just as a follow-up separately on Ulusoy. Is it $0.02 accretive for the year, and therefore the sole reason for the guide or you'd actually more than that and there is maybe a negative offset somewhere else in the equation?
Richard Fearon: No, it's $0.02 accretive and the way to think about it Jeff is, it's really $0.04 accretive, but we have $0.02 of our estimate right now of amortization of intangible costs. And so, that is how it ends up at $0.02.
Jeffrey Sprague: Great. Thank you.
Craig Arnold: But we are in fact holding all the other elements of the guide for the core business, and so no change at all.
Jeffrey Sprague: Thank you.
Yan Jin: Our next question is coming from Scott Davis from Melius Research.
Scott Davis: Right. Good morning, guys. Just to be clear, the reason why you are not raising margin guidance on ES&S, is that because of mix and largely just because of the data center volumes, is that correct?
Craig Arnold: First of all, I would say early in the year. I would say that our forecast for margins in ES&S is certainly today within the range that we set for the year. And a lot of the growth to your point, is coming from projects and so we will have to wait and see how that plays out. But right now, I would not in any way take it as a sign of concern about margins in our ES&S business. Things are going quite well and we are very pleased with our margins in Q1 and there is nothing today that I would say that would suggest that if there is anything to be concerned about.
Scott Davis: Okay. And the -- it's been actually kind of get your take, Craig, on some of the M&A that is out there. I mean you have got a couple of competitors who have announced really big deals. Nothing seems cheap. They all seem to be relatively fully priced. But what is your take on the market out there and the likelihood that Eaton participates? I guess, there is two ways to think about it, you could be a seller of assets into this market of strength as easily as you could be a buyer of assets. So how do you think about that in the current?
Craig Arnold: The first thing with respect to pricing and asset values in as you can see by some of the transactions that have been announced, I mean these properties are going for extraordinary prices. We have prided ourselves on the fact that we said we are going to be disciplined through this cycle, and we think that our cost of capital continues to be 8% to 9% and we want to deliver 300 basis points over our cost of capital. And so we will continue to be a disciplined buyer into a market that looks like assets being priced at extraordinary levels. And so I would say that we today, are looking at probably more deals than we have in a very long time, and so we have a very active pipeline as well. But we will make the commitment as we have in the past. We are not going to chase deals with what I would say are unattractive returns when you look at their cash on cash set of financial metrics. So that is kind of the way we look at it.
Scott Davis: But the other side of that, obviously Craig, as you could sell something, I mean if people are willing to pay for a price and maybe now is the time to think about partnering with some of maybe a more cyclical stocks, is that a possibility?
Craig Arnold: Yes. First of all, I would say we took a look at our businesses strategically through the cycle. And so as we think about the portfolio itself and how we hold to a seller, we are really trying to look at them over the long-term period and whether or not we think this is going to be a good strategic hole based upon the criteria that we established through the cycle. Now having said that to your point, if you have come to a decision that you want to exit as asset, now would be a great time to do it. But we generally take a longer term, let's say, more strategic view of the portfolio in terms of things that we want to - businesses that we want to be in versus businesses that we would choose to exit.
Scott Davis: That is fair. Thank you and good luck to you guys.
Craig Arnold: Alright, thank you.
Yan Jin: Our next question from Nicole DeBlase with Deutsche Bank.
Nicole DeBlase: Yes, thanks. Good morning guys. So I just want to focus a little bit on Hydraulics. I know organic growth was 1% this quarter. Looks like in your full-year guidance you have brought it down a little bit, but you are still basically implying some improvement organic growth throughout the year. So I guess, I'm curious what is driving that conviction and maybe just frame that with how demand progressed throughout the quarter, if there was any sign of improvement in March or into early April?
Craig Arnold: I would say that maybe to take your first question right out of the gate in terms of, certainly we are implying a little bit stronger growth in the back half of the year than we delivered in Q1. As I mentioned in my opening commentary, that 1% organic growth was actually within 1% of our internal plan. And so, we are actually not off our internal plan by a measurable amount in Q1. And the comps get easier quite frankly, as the year moves on. And we have very specific programs that we are working on as a company that will also help boost growth as we look into some of the out-quarters, very specific initiatives that we are working on, that have been largely bedded down, that are going to help improve our growth. And the other thing I would tell you is that, if you take a look at the major end markets that we serve construction equipment, Ag equipment, two of our big important markets in Hydraulics and you look at what our customers are saying, in most cases, they are still forecasting growth for the year. They are forecasting low single-digit kind of growth levels. And so we do believe that there was a little bit of inventory correction that took place in Q1 that probably also held down our relative growth rate.
Nicole DeBlase: Okay, got it. Thanks, Craig. And then just shifting to Aerospace, the margin performance was really impressive this quarter. Was there anything special going on there? Is it a mix impact that isn't sustainable throughout the rest of the year just because the full-year guidance implies a little bit less margin expansion than we saw in the first quarter?
Craig Arnold: Yes, I mean it certainly was a record quarter for margins in Aerospace, an all-time record, not just a record for Q1 and I would say that we did have a bit of favorable mix in Q1. Our aftermarket business on a relative basis was a bit stronger than our core OE business, and that certainly was a help for the quarter, but also the growth in the volume as well also helped push things up. And so I would say, principally, it was more a function of the mix of customers and the mix of OE aftermarket that really led to a really strong Q1 performance, that is probably not sustainable at those levels. But as you can see, we are forecasting margins for Aerospace that are once again at record levels and I would say even in many cases industry-leading levels.
Nicole DeBlase: Got it. Thank you.
Yan Jin: Our next question comes from Ann Duignan with JPMorgan.
Ann Duignan: Hi, guys. Just back to ES&S again, I know you said bidding is up significantly, but traditionally what kind of success rates would you have been, what percent win versus not win have you had?
Craig Arnold: We have pretty strong market share Ann, in our businesses. As you know, I mean, in our Electrical Systems & Services business, a lot of this activity is in the Americas market and we have industry-leading shares in this business. And so our win rate is going to be very much consistent with our underlying market share. So we do believe that this bidding activity will translate ultimately to growth in our business.
Ann Duignan: Okay, that is helpful color. Appreciate it. And then back to Hydraulics also, I have to ask the question about North American agriculture, of course. Maybe you could talk about what your customers are saying there? Is that where the weakness was in the quarter in term of orders? And given how bad farmer sentiment is in the US, would you anticipate that maybe staying weaker than expected for the full-year?
Craig Arnold: Yes, I mean, you are absolutely right that sales were actually quite decent in Ag in Q1. But the order rates in Ag was down. And to your point, it's farm incomes and underlying commodity prices being as weak as they are, that we think are certainly dampening some of the enthusiasm for the outlook in Ag markets. And I think our call on Ag for the year, we felt like it's kind of a low single-digit kind of grower for the year, but we do think that there is at least a cautionary kind of sentiment that is in the market today in and around Ag in general.
Ann Duignan: Yes, I would think we would have a similar view of the Ag market for 2019 and maybe even into 2020. Okay, I'll leave it there just get back in line. Most of my other questions were answered. Thanks.
Craig Arnold: Okay.
Yan Jin: Our next question come from Nigel Coe with Wolfe Research.
Nigel Coe: Thanks. Good morning, guys. Just come back to Hydraulics and the backlog was down, I think 11% and I understand the backup is coming off a very high level. But I'm just wondering to get to your sort of 4% to 5% growth for the remainder of the year in Hydraulics, do have to see orders come back positive or can we still achieve that targets with orders remaining flat to negative?
Craig Arnold: Yes, yes. The backlog Nigel was actually down 6% versus last year, but no problem at all, but I think the spirit of your question is once again very much like the question asked earlier, what gives us confidence that we can deliver the growth and the outlook for the year and I will say that while the backlog is down, it's still running at very, very high levels from a historical perspective. And so obviously the comparisons in general, the comps in general, get easier as the year wears on. And I think that is really the big message with respect to orders, with respect to sales, is that you have relatively easier comps as the year unwinds. We have some very specific initiatives that we have put in place as a company that are going to give us some growth that have been very well identified and we think once again that while there is a little bit of caution in the market, we do believe that the two big markets of Ag and construction continue to grow down the year.
Nigel Coe: Okay, great. And then my follow-on question is the three-point delta on the Vehicle outlook. And obviously, we are looking at the light vehicle markets significantly weaker. So that is explainable, because I'm just wondering, given the complexity in the segments, how much of that revenue delta is caused by a shift between your legacy transmission business and the Cummins JV? Was that a factor at all? Any help there would be great.
Craig Arnold: Yes, I mean, think in terms of you say the three point reduction in the growth for the quarter, I would say that was really driven principally by the weakness in global light vehicle markets around the world and you see the same data that we see. I mean China was down 10%; Europe was down for say, 3% to 4%; the Americas was down a couple of points and so, most of that weakness I would say, is really in the global light vehicle market. We do have, by the way, as I mentioned in my commentary, as the world moves from mails to automated transmissions, we continue to move more revenue into the joint venture with Cummins and that is a piece of what is going on in that business and the other one by the way, that I'll put it on the table because it becomes a much bigger impact in terms of the legacy business as we move forward. As the world moves to electrification and the eMobility segment, that also become revenue that comes out of our legacy vehicle business and shows up in eMobility. And so there are a number of factors that are going on that perhaps make the underlying revenue growth and our Vehicle business look worse than it really is.
Nigel Coe: Okay, Craig. We will dig in offline. Thanks very much.
Craig Arnold: Thank you.
Yan Jin: Next question comes from Jeff Hammond with KeyBanc.
Jeff Hammond: Hey. Good morning, guys. Just two on EPG, one, can you just talk about what is driving the margin bump without a change in sales? And then two, just as the Lighting spend has been announced, have you gotten any indications of interest that maybe a sale is likely or more likely than it's been? Thanks.
Craig Arnold: Yes, I would say on the margins, largely in EPG, I would say primarily we are getting better execution and better conversion in the business than we originally anticipated when we put the plan together. And so, it really complements to the team for really executing and delivering on some of the cost-out initiatives that we put in the plan. And so things are just going a little better than what we anticipated. And that is kind of what drove the increase in guidance for the year. As we mentioned in terms of Lighting, first of all I would say that the process is moving along as we anticipated and the prime path continues to be to spin the business and we still expect to be ready to make sure that we can get that done by the end of the year. To your point specifically around outside interest, yes. As you can imagine, there has been a number of companies who raised an interest in potentially acquiring the business. And it's always good to have an option in of choice and so we will be obviously working through these two alternatives, but once again, the prime path that we are on, is to spin the business.
Jeff Hammond: Okay and then just macro level on Europe, I mean there is been some talk about slowing there, you mentioned the auto. Can you just talk about any areas of resilience or particular weakness in Europe? Thanks.
Craig Arnold: Yes, I think to your point around the macro environment in Europe and we all see the economic data coming out of Germany, would suggest that we are in fact seeing some slowdown in growth in Europe overall. Then, we have seen that as well across many of our businesses certainly seen it specifically in the short-cycle businesses. I would say very much like we are seeing in the US, the long-cycle businesses continue to perform well in Europe. So Electrical Systems & Services and data centers, specifically in Europe, Aerospace, obviously the global industry is doing well. And so I think, we have seen, I could perhaps on an accentuated basis, more or less the continuation of the same trends that we are seeing globally. But no question, Europe is a bit weaker. It's a bit weaker when you think about industrial markets and industrial controls and the like. But it's all incorporated in our guidance and we think that Europe essentially is not going to be terribly different than what we assumed when we put our profit plan together.
Yan Jin: Our next questions comes from Andrew Obin with Bank of America.
Andrew Obin: Yes, guys. Good morning. Thanks for taking my call. Just a question on China. Can you talk about sort of China progression during the quarter? Frankly, I would have expected Mobile China Hydraulics to be a bigger positive. So I was just surprised that they didn't move the needle as much. And if you can give us any color as to how April is developing in China. Thank you.
Craig Arnold: Yes, I will say to your point, I mean China started off the year quite weak in January, and March was a much better month. And we see that and certainly the GDP data and the IP data specifically coming out of China. Even automotive markets were relatively speaking, stronger in the month of March than they were in the first two months of the year. And so I would say a lot of the economic stimulus that the Chinese government is putting into place are early indicators, but it would suggest that it is having the desired impact. And so we think China probably continues to strengthen from this point forward. Eaton overall, revenues actually grew in Q1 in China as a company. So it was - despite the fact that we had some weakness in automotive markets, we actually saw strong mid-single-digit growth in China, specifically. And to your point, yes, the Hydraulics, the excavator market was quite strong, up some 24%, I believe in Q1. It's an important market for us, but it's obviously not big enough to move the needle, given some of the offsets in other regions and other segments that are part of that business. But we do think China improves as we look forward.
Richard Fearon: And Andrew if you look at some of the construction metrics in China, they were pretty positive in Q1 and got more positive as the quarter went on. So offer starts are up I think 18% and residential starts were up 12%. So you are seeing a lot of the stimulus in China start flowing into somebody's construction-related markets.
Andrew Obin: And just the second question, you definitely highlighted strength in oil and gas. Can you give us more color sort of upstream, midstream, downstream and maybe some color, what specifically you are seeing at Crouse-Hinds?
Craig Arnold: Yes. No, I would say we are definitely seeing strength in oil and gas. And we think our business in the oil and gas, that we had a good first quarter of revenue, a good first quarter of orders and we think in the market in 2019 kind of grows mid-to-high single-digits. And then there as a company, we play more downstream than we do upstream, and so we are more exposed to that piece of the market. But we do think you saw the rig count is up somewhat 9% or so in Q1. And so we do think oil and gas continues to strengthen. And that is what we are seeing in our business as well.
Richard Fearon: And we are benefiting from some of these large downstream projects. For example, some of these LNG facilities that are being configured now and petrochemical, and so we are definitely more slanted toward downstream type applications.
Andrew Obin: And how fast does it hit your backlog that oil price moves? Do you see it immediately or is there a lag?
Craig Arnold: I would say there is generally a lag. I mean I have not studied that question in a lot of detail, Andrew. But there is clearly a lag from the move in oil price to them putting in place, capacity to increase drilling or exploration and certainly given the fact that we are downstream, and the LIBOR probably will even be bigger for us than it would be for companies who are more exposed on the upstream side.
Andrew Obin: Perfect. Thank you so much.
Yan Jin: Next question is from Deane Dray with RBC.
Deane Dray: Thank you. Good morning, everyone. Hey, maybe just touch on some of the variables in the quarter broadly that the number of the other industrial companies have called out as either a factor or not a factor. So I didn't hear anything particular about weather. Did that come into play? And you talked about the inventory adjustments. Did any of that you see any of your business experience a pull-in out of the first quarter into the fourth quarter last year, and might that have been a factor this quarter?
Craig Arnold: And I would say, Deane, we try to stay away from those kind of tangential elements around weather and the light because it's really difficult to ascertain how that impacted your business. And so at this point, I would say that, was weather an impact in Q1, it could have been; was it big enough to fundamentally change the outlook or kind of the thesis on the year, I would say probably not. And to the point around pull-ins, we really didn't see over any material pull-ins as well at the end of, let's say Q4, that would have impacted our Q1 business. And so really none of these extraneous variables, I would say would have had a material impact on the results in Q1.
Deane Dray: That is fair. And did you say how April started?
Craig Arnold: No, we didn't. But I would say very much in line with the guidance that we just provided for Q2. We would expect 4% growth and I would say that what you are going to likely continue to see is that our long-cycle businesses Electrical Systems & Services and Aerospace and Electrical Products will continue to perform very well and as we mentioned, part of the reason why we have taken the guidance down in the short cycle business. So once again, I think the Company's revenue story is really playing out very much like we anticipated, perhaps with more extremes, with more strength in the long-cycle stuff offsetting perhaps a bit of weakness in the short-cycle businesses.
Deane Dray: Thank you.
Craig Arnold: Thank you.
Yan Jin: Our next question comes from Andy Casey with Wells Fargo.
Andrew Casey: Thanks, Craig. Good morning everybody. I apologize to beat a dead horse a little bit here. But on the Hydraulics margin decline and the reduced margin outlook, is some of that specifically the Q1 compression, is some of that related to accelerated restructuring?
Craig Arnold: Yes, no, I would say that not really, Andy. I mean we obviously are continuing to do restructuring in our business in Hydraulics and so I would say, the margin compression really is largely a function of volume as we articulated earlier, and not because we are doing significantly more restructuring in the business. Now I won't say, a lot of focus obviously in Hydraulics and we certainly understand why at the end of the day, Hydraulics as a segment, accounts for less than 10% of our profits. And so, I think we have a really strong story in a lot of our other businesses that are just performing extraordinarily well and more than making up, quite frankly, for the little bit of a shortfall that we are having in Hydraulics business. But no, it's really not restructuring, it's really more volume and decrementals on the change in volume.
Andrew Casey: Okay. Thanks, Craig. And then within Electrical Products, we highlighted some strength in residential, which a little bit surprising given some of the macro data that we have been seeing. Is that share gains or what are you seeing there?
Craig Arnold: Yes, I mean Resi for us, it was really a standout performer, quite frankly, in Q1 where we saw strong revenue growth and strong order growth and largely we do think this is essentially this factor of as you move to higher valued electrical equipment with AFCIs and ground fault and the regulations and the codes that are driving standards, are certainly helping that business. But by and large, just as you know, housing prices are up. We are seeing a lot of remodels that that don't show up necessarily in the housing start data, but we continue to be quite bullish on Resi and that is certainly played out in Q1.
Richard Fearon: Based on the data, we believe we have taken some care, but the market overall for Resi electrical equipment is pretty strong. That is what the mean data would show. And our belief is that, that is likely to last throughout this year.
Craig Arnold: We think Resi construction is up, our business taking up mid-to-high single-digits for the year. So it's really a source of strength we think for the Company.
Andrew Casey: Okay, thank you very much.
Yan Jin: Our next question come from John Walsh with Credit Suisse.
John Walsh: Hi, good morning. I guess, maybe a question on the margin. Can you talk a little bit about how the price versus commodity inflation, I guess, tariff bucket performed in the quarter and how you are thinking about that cadence for the balance of the year?
Craig Arnold: Yes. Thank you. Appreciate the question. I mean, certainly as we said in the past and Q1 played out that way and we think the year as well is that we think price versus cost we think will be largely neutral for the Company. Commodity prices as you have probably all certainly noted have abated a little bit and the copper probably is the one holdout where copper prices are still running at relatively high levels, but most of the other commodities that are important to the Company, we have seen commodity costs reduce, and so obviously, that is a good thing for the Company. But also as we think about price and cost being kind of natural offsets for each other, less inflation we see, the less price we see though. The less tariff-driven cost increases that we see, we obviously can't pass that price in the marketplace. So we are very comfortable for 2019 that pricing cost will be largely neutral, very much like our guidance has been.
John Walsh: Great. And then maybe one more way to attack the negotiations comment. It doesn't sound like you want to give the absolute number, but is there a way to give it as a multiple of revenue in the business just to kind of frame the size a little bit more?
Craig Arnold: The size of negotiations as a percentage of revenue?
John Walsh: Yes, or the absolute number. I mean a couple of people have attacked it around what the 56% increase means year-on-year. Just...
Craig Arnold: Yes, I would say for us, we would really like not to give you a number, but I would tell you that it is a big enough number to give confidence and to be indicative of what the future of the business looks like. It is a very large, very material number.
Yan Jin: Our next question comes from Julian Mitchell with Barclays.
Julian Mitchell: Hi, thanks for squeezing me. And maybe just a question around the short-cycle businesses, particularly Vehicle and Hydraulics. Worsening revenue outlook in both versus your prior guide, but you sound intensely relaxed about the cost outlook. I just wondered why maybe there wasn't a bit more urgency around cost reduction in both businesses in the face of the worst top-line outlook. And then on Vehicle, it may just be something smaller or something in the mix, but I think you had a sort of low double-digit decremental margin in Q1. The guide for the year implies maybe a 30% decremental for the year as a whole. So is there something changing in terms of mix or what have you later in the year?
Craig Arnold: Yes, I mean maybe to address your first question first Julian, I mean I don't want to leave the wrong impression for a minute. To the extent that we have revenue shortfalls in any of our businesses, I can promise you that nobody is relaxed. Both our Vehicle business and our Hydraulics business is doing everything that they can. And in many cases more to flex the variable side of our cost, it's one of the key metrics that we track all of our businesses on, to the extent that they are flexing their cost down with changes and volume, but I would say for us that is table stakes. That is something that we expect of every business that we do every day. So it's not the kind of thing that say, we spent a lot of time talking about. The changes that we are talking about and revenue are not big enough to drive material changes in our restructuring plans, although in the event that the world changed dramatically, we would have the ability to do that. And so I can promise you nobody is in any way relaxed about ensuring that we are managing costs inside of our business. And then with respect to the decrementals in vehicle, yes, very strong decremental performance in Q1. For the balance of the year, perhaps a little bigger than that, but still well below what we would call as a normal decremental for our Vehicle business. And so once again, rest assured that our Vehicle team is on their game. They do a great job, always have, are managing costs in the face of a downturn. And so you can count on them continuing to deliver.
Julian Mitchell: That is very helpful. And then my second question would just be around any interesting trends you'd call out in terms of inventory levels at OEMs or channel partners across the businesses? How do you feel about absolute inventory levels as they sit today and has there been any change in recent weeks or months?
Craig Arnold: Yes, if you are maybe taking the channel first, because that is kind of where you typically would see the big changes. And I would say by and large not. Inventory today with our distributor partners are largely in line with where they have been historically and in line with their own outlook for revenue growth. And so we have really not seen any material change there at all. As I mentioned on the call, perhaps where we have seen some adjustments, is on the OEM side and some of the short-cycle businesses. But other than that, really inventories are very well managed.
Julian Mitchell: Very helpful. Thank you.
Yan Jin: At this point of the time, I will take the last question from Mig Dobre with Baird.
Mircea Dobre: Great. Thanks for squeezing me in and I want to go back to a question that is been asked before on Vehicle. So looking at this change in organic growth guidance, I mean, correct me if I'm wrong, but when you issued this guidance, I think pretty much everybody knew some of the challenges that existed in the light vehicle space in terms of builds for the year. So trying to figure out what changed in your mind that prompted this guidance reduction? Is it really more driven by what is been happening with the JV? Is it shifts to eMobility or how do we think about this move?
Craig Arnold: No, I would say really what we said, it's light vehicle markets around the world as I think is evidenced by Q1, have come in weaker at least than what we anticipated and I think in general, weaker than what most economic forecasters have anticipated. It has absolutely nothing to do with what is going on today inside of the commercial vehicle market. North America Class 8 truck continues to do just fine. The JV revenues, as I mentioned are growing nicely and certainly we have anticipated at the beginning of the year that there would be some transfer of revenue and that is largely on track. And this change really is a function of what we are seeing today, like global vehicle markets around the world now. We will have to see what the rest of the year brings, but certainly the Q1 weakness really in all three regions of the world is really what influenced largely our changing guidance for the year.
Mircea Dobre: I see. Given the adjustment that you had to make the margin and the fact that margins are now going to be slightly lower year-over-year, as we look toward 2020 and we know the challenges that the commercial vehicle side of the business is going to have, is it fair for all of us to be thinking that margins will once again take a step down in 2020?
Craig Arnold: No, I would say not. I mean, as you know, we have done a lot of work over the last number of years to really build the business inside of our Vehicle business that essentially delivers strong margins through the cycle. And certainly as you know, because we have the joint venture, a lot of that volatility that used to sit inside of our business in our portfolio is no longer there.  We have done a lot of restructuring and so I would say, you should not expect this business to take a material change at all in profitability even with, let's say, North America Class 8 market that is down significantly from where it is this year.
Mircea Dobre: Alright, thank you.
Yan Jin: Okay, good. Thank you. We have reached the end of our call and we do appreciate everybody’s questions. As always, Craig and I will be available to address all your questions today and do something the following weeks. Thank you all for joining us today.
Craig Arnold: Alright, thank you.
Operator: And ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using the AT&T Executive Teleconference Service. You may now disconnect.